Operator: Welcome to Cerner Corporation's First Quarter 2019 Conference Call. Today's date is April 25, 2019, and this call is being recorded. The company has asked me to remind you that various remarks made here today constitute forward-looking statements, including, without limitation, those regarding projections of future revenues or earnings; operating margins; operating and capital expenses; bookings; new solution; services and offering development; capital allocation plans; and future business outlook, including new markets or prospects for the company's solutions and services. Actual results may differ materially from those indicated by the forward-looking statements.
Brent Schaefer: Thank you, Brian. Good afternoon everyone and welcome to the call. I'll spend the first few minutes providing some context on the quarter and then I'll ask our CFO, Marc Naughton, to walk through the results; and then our Chief Client Officer, John Peterzalek to provide additional highlights and marketplace observations. Since our last earnings call, you've likely seen that Starboard acquired a position in Cerner and we announced the cooperation agreement with them. From the outset, we approached the conversation with Starboard in an open-minded fashion, just like we do any shareholder. Starboard's focus on operational improvements and Board refreshment was consistent with our objectives and plans and we had existing efforts underway in both areas. The cooperation agreement builds on and accelerates the work we've been doing and formalizes our commitment to improve operating performance, including specific targets that are aggressive, but attainable. In addition, we added four outstanding new Board members, which we believe strengthens our governance. We strongly believe these operational and governance improvements are in the best interest of Cerner's clients plants, associates and shareholders. Since assuming the role of CEO in 2018, the entire Cerner leadership team and I have been reviewing all facets of our operations to improve financial performance and unlock the company's significant potential. As we discussed in our last earnings call and at HIMSS, we rolled out a new operating model to streamline operations, become more client-centric and to enable improved focus on growth. We believe this work is foundational to our operational improvement commitments. As the next step toward driving improvements in Cerner's operations and cost structure, we engaged AlixPartners a leading outside consulting firm. Our goal is to uncover efficiencies without impacting important growth investments and commitments to Cerner clients.
Marc Naughton: Thanks, Brent. Good afternoon everyone. I'm going to cover our Q1 results and future guidance. I'll start with bookings which were $1.242 billion in Q1. This is $42 million above the midpoint of our guidance range and as anticipated, down from Q1 2018 booking of $1.398 billion, which included much higher-than-normal levels of large long-term bookings. As John will discuss, bookings excluding long-term contracts grew slightly over the year-ago period.
John Peterzalek: Thanks, Marc. Good afternoon, everyone. Today I'll cover our top-line results and discuss the marketplace. I'll start with our bookings, which are in line with our projections with growth in non-long-term bookings being offset by a decline in long-term bookings, which we previewed last quarter. The percent of bookings coming from long-term contracts in the quarter was 30% compared to 40% in Q1 of last year. When you exclude the long-term component, bookings grew 3% compared to the year ago quarter. As Marc mentioned, the dynamic is expected to continue in Q2 with another expected decline in long-term bookings and the impact is amplified by the fact that Q2 of last year represents a tough comparable as it was near an all-time high and included our initial VA bookings. The lower level of long-term bookings in our forecast is in part driven by our decision to be more selective as we consider certain low-margin, long-term contract opportunities given the current operational review and our focus on higher margin growth. This is not expected to have a material impact on near-term revenue or earnings but we do expect the mix of long-term bookings to be lower for the year. Our pipeline remains strong and we are well-positioned to deliver good long-term growth but willing to make sure we pursue high quality business that aligns with our focus on profitable growth. Moving to new business mix. We had a solid quarter with 32% of bookings coming from outside our core Millennium installed base. In the federal space, our projects with DoD and VA are both progressing as planned. For DoD, we are continuing our work on the second wave of sites with go-lives on track for this fall. Similarly, our work with the VA has continued as planned, and we remain on track to steadily ramp our work on the project, as we go through the year and into next year, with the initial sites still expected to go-live in 2020. Q1 was also a solid quarter for other key growth areas such as revenue cycle and population health. We also see material growth opportunities beyond the hospital, as we shift -- as the shift continues towards at-risk, value-based pay arrangements, providers will need better data and analytics to improve their economics. Cerner expects to help provider clients increase their top line revenue and win their ZIP code providing the Big Data and predictive tools to support better health care experiences and outcomes. A few weeks ago, we announced an expanded partnership with naviHealth, a pioneer in post-acute patient management. We have worked with naviHealth for the past five years to streamline workflows for the post-acute discharge. We are expanding the relationship to create a new EHR-agnostic offering that drives improved clinical outcomes and financial results with a focus on addressing the latest bundled payments model for the CMS known as the bundled payments for care improvement advance. As we build our health care network strategy, we will selectively add at-risk capabilities with key partners. naviHealth, for example, will leverage Cerner's HealtheIntent platform and allows us to drive higher-dollar, higher-margin economics around the provider health network. Because health systems leverage a portfolio of value-based risk models, the naviHealth relationship is highly complementary to our work with Lumeris, an important strategy for advancing our post-acute line of business. Now I'll provide brief observations on the marketplace. While our core EHR market is mature, opportunities remain to replace legacy suppliers and cross-sell additional solutions, such as, revenue cycle and ambulatory into our existing client base. We believe we are well-positioned to act as partner to our clients, because we have the capabilities beyond EHR that align with their imperatives, which generally include optimizing revenue in both fee-for-service and value-based models, improve the health of population, enhancing quality and outcomes and creating operational efficiencies. In summary, we believe we are aligned with our clients' needs and well-positioned to enable them to pursue their growth strategies and deliver against their imperatives. With that, I'll turn the call back to over to Brent for closing comments.
Brent Schaefer: Thanks John. Well, as you've heard from us today, we're undergoing a lot of change. We have embraced the cooperation agreement as an opportunity to build on the work we've done over the past year, and move at a fast pace to make the needed improvements in our operating performance. We are very committed to delivering against the targets we have established, and we're confident in our ability to execute. One thing that will not change is our commitment to clients and innovation. We're focused on supporting our clients by aligning around the following priorities. Intelligent innovation, which means delivering on our commitment to leverage the power of data to create contextual, intelligent experiences, new evidence-based insights and workflow interventions. Better experiences and outcomes, which includes intelligent health networks and relentlessly advancing client successes. Open and connected health care, which reflects our commitment to investing in rapid technology advancements to deliver tangible value to every patient, clinician, technologist and administrator. We believe open platforms that allow clients, partners and developers to innovate with us will allow us to solve health care's most complex challenges. In summary, we believe we are making Cerner a stronger, more focused company positioned to have a positive impact on health care. Now I'll turn the call back to the moderator, and open up for questions.
Operator: Thank you sir.  And our first question will come from the line of Robert Jones with Goldman Sachs. Your line is now open.
Robert Jones: Great. Good evening. Thanks for taking the question. Brent, you shared several areas that you highlighted as being evaluated to help you guys reach the operating margin targets shared in the cooperation agreement. But I was hoping maybe you could just give us a little bit more of a sense of order of magnitude. And I'm thinking if you take a step back R&D versus more of the traditional operating expenses, because I know you've highlighted things that kind of on both sides of the fence there. And then within that, if you could just share the kind of line of sight, you feel like you have today into those cost savings, as we think about getting the operating profit level from what we saw in 1Q to that 20% exit rate that you guys had shared?
Brent Schaefer: Yes, okay. Good question. Well, it's early days, right? So we're a couple of weeks into the engagement with Alix. So we're in the data-sharing process and starting to really build out where to look. The analogy, I've been using is in HIMSS Sumitt, a health care perspective is we're doing a full-body CT scan of everything, all aspects of the organization to look for opportunities. And it's a little early to identify exactly where we go. But we do -- we certainly, we see opportunities as mentioned around, how we're -- it's fundamental structured around management span and layers. And we feel like we did some really good work last year on the portfolio, established a good baseline of understanding for us, quantified where the opportunities are and where some of the best opportunities are. So, it's kind of -- in many cases going to the next step here of seeing that through, making strong decisions around those that maximize our growth opportunity, and help us find efficiencies. And we know just as we discussed last year based on our scale and size that the operating model was intended to help set up some fundamental alignment about accountability and clarity throughout the organization. But we know there's opportunity for process improvement that comes with that. And given that in Q1 we just rolled out the model kind of the next obvious step is to then really look for clear processes to work those for efficiencies through the whole organization. So, I hope that at it least gives you some directional sense of where we're going and there'll be more as we get into it for sure.
Robert Jones: Yes. No, Brent that helps. I guess just a quick follow-up. I thought it was interesting comments on the bookings guidance. It seems more conscious that you're not pursuing certain as you described lower margin long-term contracts. Is it safe to assume that that's on the work side of things? And if that's true maybe just an update on where you stand on the billing center. I know that was a big focus a big buildout last year.
Marc Naughton: Yes this is Marc. I think that certainly every transaction and agreement we look at is going to be reviewed in light of our focus. But relative to bookings keep in mind that long-term bookings which is the primary difference we're seeing in Q1 and Q2 relative to the year ago quarters, those tend to be lumpy. And actually coming in the year we indicated when we talked to you about Q1 as we're doing in Q2 the funnel for those types of transactions just wasn't as big as it was a year ago. And that -- the funnel varies or opportunities in front of us that are fairly large that can certainly bring us back to a more normalized number relative to that. But I think that for us the point we're making is we're certainly going to look at all of our businesses and decide which ones we want to focus our attention on and those are the ones that are going to be that we think help our clients retain our clients and drive profitable growth. So, right now it's a little early to decide exactly what that's going to entail. But when you think about bookings I think that probably the more meaningful impact in the first half of this year is just a lower pipeline.
Robert Jones: Got it. Thanks Marc. Appreciate that.
Marc Naughton: Sure.
Operator: Thank you. Our next question will come from Ricky Goldwasser with Morgan Stanley. Your line is now open.
Ricky Goldwasser: Yes, hi good evening. When we think about 2019 and kind of at the topline growth what percent of revenue do you expect to come from the federal contracts where you're not changing your spend versus customer areas where you are planning on spending less on? And then second a follow-up question on that is if you had a chance to speak with them to your hospital customers after your announcement? And what feedback are you hearing back from them?
Brent Schaefer: Yes, John do you want to take that?
John Peterzalek: I'll go first with the feedback from the client. This is John. I had the opportunity obviously to speak with many clients post announcements. And almost without exception it's viewed as a positive catalyst for us. As we look at our new Board members and the focus on both technology and operational improvements that's very positive from our clients' perspective. We're accelerating some of the things that we are already doing around our operating model to become more efficient.  Our efficiencies it reflects well with our clients as well. It's easier for them to do business with us. We get solutions to market quicker all those types of things. So pretty much without exception it was viewed as a good catalyst for us to move forward and accelerate our plans that we already have.
Marc Naughton: Yes, and this is Marc. Working on your question kind of relative to revenue that has costs or doesn't have costs or obviously we're early in determining where the opportunities are here. But I think key element when you're thinking about revenue and the impact of our efforts on revenue is that as we went into the year and we continue to see based on the 12-month view out of backlog and those contracts that are not in backlog, but are going to roll out in the next 12 months that 85% of our revenue is still visible to us. So that is going to be rolling through. Most of the activities from our services which a lot of the VA revenue comes from those people are generating revenue and clearly you're not going to go cut costs for people that are generating revenue. So, I think from a revenue perspective the efforts we're taking from a efficiency standpoint aren't going to make a material dent relative to 2019.
Ricky Goldwasser: Thank you.
Operator: Thank you. And our next question will come from the line of Lisa Gill with JPMorgan. Your line is now open.
Lisa Gill: Thanks very much and good afternoon. I just wanted to follow up on the cadence of the margin improvement. Marc if I look at -- I know you don't give specific margin guidance but if I look at the implied margin for the second quarter it looks like it'll be down again year-over-year. So, can you maybe just talk about how quickly this will ramp to get to that as Brent said aggressive but attainable target of 20% by the fourth quarter? Is that -- does that mean that all of these efficiencies will really come in the third quarter and fourth quarter?
A – Marc Naughton: Yes Lisa, this is Marc. I mean clearly the efforts we're undertaking are fairly recent. We got a lot of analysis to do. And then we have to go take the steps that are going to start driving those. So I think it's certainly in our view, in the plan we have is a material amount of that happens in Q4 for this year because it's going to take us time to get those projects underway and start realizing the benefits. So your synopsis that is most of that going to be happening certainly in the last half of the year and much of it in Q4, I think is a realistic one. I think certainly all the work we're going to be doing in 2019 is then going to set us up well as we roll into 2020 and put us on a good path for the 22.5% we expect to see in Q4 of that year. But certainly from -- exiting Q4, you will see a pretty steep ramp from a quarterly operating margin percentage as more and more of these initiatives start hitting the P&L as we get toward the end of the year.
Q – Lisa Gill: And then, just so I understand, in the updated guidance around the share repurchase, how much specifically do you have in the updated guidance for share repo?
A – Marc Naughton: We haven't given any specific number. It clearly depends on the timing of the repurchases which will be subject to market conditions et cetera. So we haven't really defined when we plan to do all of those repurchases. We just indicated that over -- certainly over the next 12 months, we expect to do the majority of that authorization. We're serious about bringing those shares and getting that repurchase done. But we haven't set a timing as far as when that's going occur and therefore relative to how it will impact EPS over that time.
Q – Lisa Gill: Okay. Thank you.
Operator: Thank you. And our next question will come from the line of Jeff Garro with William Blair & Company. Your line is now open.
Q – Jeff Garro: Good afternoon. Thanks for taking the questions. I want to ask more about bookings and the idea that you guys are getting more selective in some of these long-term opportunities. Maybe the way to ask it might be, what types of long-term opportunities are you still really interested in pursuing? Is it with some of the market leaders? Is it with some of your tightest partnerships? Or is it more strictly based on margin potential?
A – John Peterzalek: Yes. This is John. We're going to continue to look at all of our opportunities. It's just going to be a path of which ones we believe are going to benefit the client the most and get them -- move them forward as well as with our added scrutiny around making sure that the margins are right long-term for us as you expect to come to the big mix. But it doesn't mean you're only going to focus on the largest ones. It'll be throughout our client base where we'll have great opportunities to align both where we deliver tremendous value for the client and provide higher margins for Cerner. So it's not one specific area that we'll be looking at all of them with sort of just a revised look at them. But it should be brought throughout our entire client base.
Q – Jeff Garro: Got it. That helps. And then as a follow-up, thinking about the 4% year-over-year bookings growth in the kind of near-term bookings category and want to ask, what you see the pipeline supporting for the rest of the year given a bit of change in philosophy of those longer -- around those longer opportunities. Can you set some level of expectation around how near-term bookings are going to unfold for the rest of the year?
A – Marc Naughton: Yes. This is Marc. This -- once again bookings is a number that we'd like to have roughly to our rigorous forecast process and have a view on before we share a lot of color around that. So at this point, I think it's a little premature to give guidance as far as what we see the non-long term versus the long-term in the second half of the year. Certainly, we'll be able to serve more of that as we get to our next call. But at this point, consistent with what we've always done, we're not going to provide a whole lot of more color based on those breakdowns.
A – Brent Schaefer: I think it's fair to say that the pipeline is robust.
A – Marc Naughton: Yes. As we look at the market, the market's strong.
A – Brent Schaefer: I would add to that and I'd mentioned that in my comments as well, there isn't a material change in our pipeline at all. We still have a very strong pipeline top to bottom both in solutions services and other things. So I am highly optimistic about the pipeline itself. It continues to grow and it continues to be very broad throughout our solution mix and services mix.
A – Marc Naughton: And this is Marc. Just as a reminder that when you look at the bookings, you do have to keep in mind a little bit of a context in that in 2017 we grew 16%. And in the last year, we grew pretty significantly in bookings as well. The prior year actually we grew zero. So I think there is some lumpiness to this, but the reality is based on our backlog it's grown significantly from those two years of strong bookings. The revenue line is in pretty good shape relative to visibility. And the good news is that the pipeline is strong in a market that is seeming -- deemed mature, we have a lot of opportunities within both our existing client base and new clients to go after market share. So we will continue to do that.
Q – Jeff Garro: Thank you all, very helpful.
Operator: Thank you. And our next question will come from the line of Eric Percher with Nephron Research. Your line is now open.
Q – Eric Percher: Thank you. Brent, can you speak to your hope for how the Board's Finance & Strategy Committee will interact with management and Alix goes a little bit off the functional – how that will function?
Brent Schaefer: Yeah. One, I think if you look at the bios of the four new Board members we're adding they're all operators with a lot of diverse experience, who've been through multiple business cycles different stages in business. So I think having their insights and as part of this will be a real benefit to us to have these new folks and then combined with our folks from our traditional Board who – especially a couple who have very deep insights to the market and operations that we're in, I feel good about that. So I think it's mostly a question of perspective and experience interacting with management as we work through these changes and helping us to avoid pitfalls and mistakes as we work our way through it. It's a lot – as you know this kind of work is a heavy lift and we need to make sure we do it well, and keep our priorities straight. So I expect it to be very helpful for us as we move forward.
Eric Percher: And sounds like you see them working with the management team broadly more than just advising you and the Board?
Brent Schaefer: Well, no, I mean, they're Board members. So I expect them to advise absolutely. It's an advising role right as Board members. But the breadth of experience that they bring, I think is a benefit as we work through this. So yeah, but it's an advisory role.
Eric Percher: Thank you.
Brent Schaefer: Yeah. Thank you.
Operator: Thank you. And our next question will come from the line of Ross Muken with Evercore ISI. Your line is now open.
Elizabeth Anderson: Hi. This is Elizabeth Anderson in for Ross. Can you discuss your openness to improve efficiencies in your R&D organization? So for example, how do you arrive at the proper level of investment or measure it given the lack of revenue acceleration in certain of your end markets?
Brent Schaefer: Yeah. This is Brent. Let me turn in and maybe you can add some Marc as we go. But I think the steps we started last year around just a disciplined approach to portfolio review was really fundamental. Marc mentioned, the way I think we've mentioned this, a couple of times we felt like we were trying to do too many things simultaneously. So the first piece is having a robust process around setting priorities, and that I feel like we've got a good start there. There's a lot more work that we can do. But I think this is a very good start. And then within the R&D and how assets are deployed and how we work through a cycle I think the business model we put in place should help us because we found that we were developing some great new functionality and then really never getting it to market and scaling it through our client base, because the way it was developed we weren't seeing it all the way through. So there's opportunity there. And then I think when you come back to the topic now about really process improvement, I think that's kind of new ground for us. We've got the model in place. We've got a portfolio process in place. Now really looking for how can we find efficiencies throughout that development processes is work ahead for us. So I think all of those are ongoing opportunities for us at this point. So hopefully, that gives you a little color on it. Is there anything you want to add Marc?
Marc Naughton: Yeah. I think that's exactly right. Certainly, every – there is nothing off the table as we go through and do this work. Certainly, the focus is delivering for our clients and innovating. So R&D has been a key part of that spend. But certainly, everything we do as a company is going to be reviewed to make sure that the process is right and the level of resourcing is appropriate and the focus of those resources is appropriate. So – 
Elizabeth Anderson: Perfect, that's very helpful. My final question is how are you going to message your clients your intent regarding margins? And how do you counteract how competition is likely to position that?
John Peterzalek: Well, this is John. We know that there's going to be some competitive messaging around this whether it's accurate or inaccurate on the competitive side. But, our clients look at our margin in my opinion is more how efficient we are. And I've stated, before, I think that our clients need us to be more efficient because we need to bring our solutions to market more quickly and efficiency drives to that though they will welcome the fact that we'll be more focused and not spend as much time around the periphery of some things. And they'll welcome the fact that some of the great ideas and innovations we have will make it all the way through being deeply embedded in our clients. So I think messaging, the reality to our clients will be very positive and then we'll see some very positive things come out of it in terms of how effectively we work with them. And we'll just have to deal with the competitive messaging. We'll be proactive about it, but communication is the best thing we can do with our clients, and let them know what we're doing, what to expect. And Brent has been very clear and we all have been very clear, this process will not impact our client. The commitments we have to our clients will not impact the innovation they expect from us and will not impact what we deliver.
Brent Schaefer: I think I'd just add to that John. I appreciate the points. I think in the clients that we serve these are generally very long-term partnerships. And so they depend on us to be a strong partner a healthy partner and to continue to innovate and help them move forward. And so a strong Cerner is something that they want, all right? They want to know we're positioned well for the future and can continue to deliver on our commitments. And so I think that's -- I think there is a pretty good understanding of that in our client base. But thanks for the question. I appreciate it.
Elizabeth Anderson: Thank you.
Operator: Thank you. And our next question will come from David Larsen with Leerink. Your line is now open.
David Larsen: Can you talk a little bit about your revenue works efforts? I think you brought on about 600 rev cycle FTEs in 2018. That obviously put some pressure on the margin there. But now what I'm hearing is the level of large service engagement wins has kind of slowed. Just any thoughts on your RevWorks efforts, Marc? I think at one point you mentioned you wanted to make sure that Adventist was up and running and perfect before bringing on large new ones. Is that still your thought process? Thanks.
Marc Naughton: Sure. I think yeah, we basically opened up our billing center in Kansas City and that is fully staffed. It is beginning to take over roles that are opening up from attrition from some of our signed clients. So it is actually operating as it was intended to operate at this point. And I think we still look at that business and want to make sure that we are really good at it before we take it a whole lot broader. That's one of the activities we're doing relative to this -- to the work we're doing around efficiencies and profitability. But certainly, I think the -- clearly that office -- that business office in Kansas City has turned out as we'd expected. We're getting the leverage from it. And I think we're going to have to continue to be able to leverage that office for new opportunities as they come up. Once again those are probably even lumpier in the case of opportunities from a long-term bookings perspective. But currently right now that business is operating out of that service center and meeting our expectations.
David Larsen: Okay. And then just one more quick one for me. In terms of like the VA and sort of the rolling on of the VA, can you remind me how many waves are there? I thought there were like more than 40 waves and I think waves one and two are scheduled to go-live in like 2020. So my impression is that a lot of the VA revenue and bookings are still ahead of Cerner. Is that correct or not?
Marc Naughton: Yes. A little more color would be that -- absolutely correct.
Brent Schaefer: You're exactly right. There are a bunch of waves. And once we get further into the project, there will be multiple ways progressing at the same time. Right now, they are they're set to be kind of single waves as you get to proof-of-concept and those other elements. But as we roll forward and particularly as you start looking at kind of the bookings future view of bookings you do have to keep in mind that really kind of VA we had some initial bookings from them. This year we'll have some additional bookings. But there's -- the real increase in VA bookings comes when they really start rolling out multiple waves they start contracting for those projects. And our statement has been we expect that revenue stream to grow kind of in $250 million increments until we get to around $1 billion a year. To get to a $1 billion year, you're going to have to have a significant amount of bookings come through to be able to support that revenue level. So you will see the revenue continuing to grow from VA. And therefore the bookings growth from VA as we move forward kind of on that four-year timeline we discussed.
David Larsen: Great. Thank you.
Marc Naughton: Thanks for the question.
Operator: Thank you. And our next question will come from the line of Richard Close with Canaccord Genuity. Your line is now open.
Richard Close: Great. Thanks for the question. So on this profitable growth commentary, it sounds like you're deemphasizing some products or services, maybe RevWorks is one of those. Does that change your long-term thoughts on revenue growth by maybe deemphasizing some of these things? And then if not, what are the areas that you see the most growth potential in over maybe the next five years?
Marc Naughton: Yeah. This is Marc. I think at HIMSS we kind of laid out some of the opportunities for growth that we were looking at. Certainly the government growth area is a huge area for us to grow. You talked -- we talked about naviHealth today. There are opportunities in the top health space that we continue to look at opportunities to grow from a top line perspective. The reality -- the focus on profitable growth that can be across almost any business. I mean some of the work that Brent referenced from a portfolio management perspective is that we're spending a bunch of money on something that's never going to grow to be a sizable contributor to revenue. But it's taking cycles of intention and it's taking people. So if there's a lot of those types of things that are not just in categories, but are individual areas that we need to go adjust and either decide we're not going to do those anymore spin that off whatever approach is going to be. But I think from an overall standpoint, we have elements of growth that are out there that will continue to be able to provide avenues. So, today, if you look at RevWorks if that was your kind of your focus question that might be a couple of hundred million dollars of revenue to us today. So that's -- well that's sizable. There hasn't been huge growth in that from a bookings perspective or more recently from a revenue perspective. So I think while that's an avenue of potential growth, we have lots of other avenues of potential growth. This process will help us define, which of those we actively pursue and invest in, which of those we decide not to.
John Peterzalek: And I think we're jumping to specific business lines, which I wouldn't do right now. And I would not use the word deemphasize. I would use what we said in our comments, which is selective that some of these long-term growth areas are still very important to us. We're just going to make sure that they add to the product. We're very selective in terms of profitable growth the comments we made before. There are lots of opportunities out there, we can make sure they align both with our clients' needs, the value we drive and profitable growth for Cerner. So I would be hesitant to use the word deemphasize and I would continue with what we're going to be selective in what we…
Marc Naughton: Yeah. Keep in mind one of the key elements of these works business is to more tightly align the client to Cerner. And that tight alignment brings with it a lot more software sales, a lot more high level services sales. So that is -- the overall contribution from those efforts is what we're looking at. We’re not going to go pigeonhole, just a piece of that business and say this doesn't make sense. It's got to be in the overall profitability relative to a client. And that's always been the focus we've had. But we want to be selective in, which ones of those we pursue, making sure it does deliver on that promise.
Richard Close: Okay. That’s very helpful. Thank you.
Operator: Thank you. And our next question will come from Stephanie Demko with Citi. Your line is now open.
Stephanie Demko: Hey, guys thank you for taking the questions. First one is just what drove your view of a nonlinear margin path at the recent Analyst Day? Or I guess put another way how much of that was a conscious decision to avoid any impact on top-line or bookings growth versus something else?
Marc Naughton: Yeah, I don't I mean, I don't think there was any intent to avoid an impact on the top-line. We at our HIMSS meeting said, our goal was to be over 20%, 20% plus. We clearly as Brent says spend a lot of time working on structures and we're getting to a point where we were prepared to start doing the deeper work to go drive those efficiencies. Clearly our agreement with Starboard accelerates that process. We're now adding detail. We're doing it at a faster pace. So I don't know that it's inconsistent with what we were talking about relative to getting over 20% margins. The good news is 22.5% is over 20% and we're getting there probably more quickly than many people would have expected us to get there. And that's absolutely ourselves and Starboard, which is actually aligned with many of our investors and shareholders. We're all in alignment on that goal.
Stephanie Demko: Understood. So with that in mind, are there any near-term opportunities that you are looking at they're just being offset by mix over the next quarter or two? Or you're more staying on the sidelines until the consulting analyst finishes? Just to take a more social approach there.
Marc Naughton: We are -- once again, we've been doing work on this in this space for a while. We certainly love the work we're doing with AlixPartners, the collaboration and it's actually been very -- they've been well received within our organization, so that's going very well. But there are things that we already had in process and in thinking through that we are going to be able to start the action in on. Depending on what those are, it may have a nearer term impact, but many of these are going to be something that even if you're getting something kicked off immediately, real impact is going to be toward the last part of the year. And that's the reality of the situation at this point.
Stephanie Demko: All right. It’s very helpful. Thank you.
Marc Naughton: Sure. Thank you.
Operator: Thank you. And our next question will come from the line of Matthew Gillmor with Robert Baird. Your line is now open.
Matthew Gillmor: Hey, thanks for the question. I just had one last one. On the buyback program and just if you can update us on your future outlook there. And I guess the perspective would be that once you complete this repurchase authorization, do you intend to keep repurchasing stock at a similar pace? Or should we think of the $1.5 billion more as a one-time large repurchase and then you go back to the prior cadence? And I know M&A if you execute there that would obviously be influenced. But just trying to understand the philosophy at this point?
Marc Naughton: Sure. This is Marc. I mean our capital allocation approach is something that we review all the time. I think the working -- we will certainly work through this authorization by the board and get that done. We've always had the position that we are going to at minimum do repurchases at offsetting dilution. And for the most -- a lot of the view of on the stock repurchase is how attractive our market conditions and what's the share price look like relative to what we think the value is. So I think you'll see us complete this large purchase. And keep in mind, we've bought a lot of stock back over the last five or six years. So this isn't inconsistent with that. It's a little larger than our prior authorizations. But we'll certainly look at it once we get this done and determine based on our capital allocation at that time. If we do another sizable one, we just continue doing offsets of dilution do we have other investments. So little early for us to tell that this is going to be a plan of attack. I think capital allocation is something you've got to do on a kind of more of a temporal nature than a long-term plan nature.
Matthew Gillmor: All right. Fair enough. Thank you.
Marc Naughton: Sure.
Operator: Thank you. And our next question will come from the line of Michael Cherny with Bank of America Merrill Lynch. Your line is now open.
Michael Cherny: Thanks so much for taking the question. The thing about the cost cuts in the investment cycle from a little bit of a different angle. I think you've outlined at least the beginning pieces of what you plan to attack in terms of margin expansion. How do you think about positioning the company? And when you think about not just protecting revenue, but also looking to expand revenue in a world where hiring talent in the tech land becomes so much more challenging, so much more competitive. How do you think about the culture that you want to bring to the organization against the backdrop of driving through some of these cost cuts to make sure that you're staying at the forefront given your competition, not just the dynamics of what's in the competition in terms of selling against you, but what's the competition in terms of developing new products and new platforms against you?
Brent Schaefer: Maybe I'll -- a couple of comments here. You're asking about culture, and I think that's a great one to emphasize, because I think we – this is amazing. As a relative new comer to Cerner, there's an amazing culture here, and a real emphasis and a real desire to innovate and contribute and improve health care. And I think as far as attracting global talent to be part of that, I think that is a very strong asset for us and something we need to continue to build and reinforce and we want to do that. And if you look at some of the facilities that we have in place, our innovation center, I don't if you've had a chance to tour, but it is world-class. It is a world-class environment for innovation and to attract talent. So I understand the nature of your question is do we scare away talent? I think honestly we want to reinforce that this is a great place to be and a great culture to be in. And we're here to contribute to improvement in health care. And what better mission is there than that? So we'll be careful about balancing the need for efficiency while attracting talent and driving that culture that we want to maintain.
Marc Naughton: Yeah. This is Marc. I think in some cases, there are areas in the company that we -- because of how we've grown up and some of the silos we've created before, we changed the operating model. It was harder to get things done inside Cerner. So I think the culture will evolve to one where it is easier to get things done. And I think that's important. I think the clearly one of the pillars of our organization is strategic growth. So we are focusing an entire organization just on finding new areas to go grow the company. So I think rather than that being dispersed throughout the organization having a single focus of that group on it makes it more likely that we're going to be successful in innovating. And this was one final comment I would point out to be Innovation Campus that Brent referenced as being just world-class is being completely paid for by tax incentives from the State of Missouri and the city of Kansas City.
Michael Cherny: Thanks.
Marc Naughton: Well, we take one more question.
Operator: Thank you. Our last question will come from the line of Steven Valiquette with Barclays. Your line is now open.
Steven Valiquette: Great. Good afternoon, everybody, and also let me just say congrats on reaching the Starboard agreement. It's definitely a positive, no matter how you slice it. I think the additional good news really is that the majority of the investment community believes that the opportunity to get to 22.5% margin by the end of 2020 definitely exists within the company. Nobody's really doubting that, but I think similar to an earlier question though, I think some investors are still really just trying to process the evolution of Cerner targeting 30bps to 60bps of margin expansion not that long ago, then just kind of backing off that a little bit but now you're obviously targeting a much larger 400 basis points in a pretty short time period. And I mean this in a good way but in some ways the 22.5% margin target is really almost higher than it needs to be to satisfy investors. I think investors are really just looking for more color on how you arrive at that 22.5% as the right margin target for 4Q of 2020 during this whole process. Thanks.
A – Marc Naughton: Sure. No this is Marc. I mean we spent time early on with AlixPartners, actually to go through at a high level before they start doing their deep dives, give us a view of what they thought the opportunities were from an efficiency perspective. And we incorporated that into our thinking. And we incorporated the thinking that we have relative to the business and opportunities. And yes no we think 22.5% is a strong stretch target. So we have a high level of confidence, in our ability to deliver on that target. I think the efficiencies are available. I think we'll be a healthy organization. And you keep in mind when you look at the -- really the percent of cost that represents from -- as a percent of your total revenue it's not that high of a percentage. So, relative to the size of the company we're not doing anything that we expect to be draconian here. So, I think where folks seeing certainly in the space of that 22.5% on cost reduction, things we can control. We're not expecting revenue growth to somehow add some basis points to our operating margin. So, I think all in that context we did the work to say this feels strong. This is what we believe we can do and this is what we're willing to commit to. And I think it's a good target. I think it's something that investors should hold us to and focus on. But I don't -- perhaps a smaller target would've been something that people would've been okay with. But I think this sends a message to both investors and our associates that we need to increase the health financially of this company. And so, we're very comfortable with the 22.5% target. And I think that is our target. And we will continue to be marching towards that. We love the start we have on it and I think we will continue to do the work that we need to get there. And it's not -- it's something that the business can handle. We just have to be doing business more efficiently and better.
Brent Schaefer: And I would add and as we have taken a number of steps to set ourselves up for this work, from the work that was done last year and rolled out in first quarter, so the timing's good. We know we had more to do. And it's an ambitious but achievable set of goals. And I think the team's ready to take it on and go after it. And that's what we intend to do.
Q – Steven Valiquette: Okay. I appreciate the extra color. Thanks.
Brent Schaefer: Thank you. Thanks, Steve.
Brent Schaefer: With that, we thank you all for attending. And we hope you have a good afternoon. Take care.
Marc Naughton: Thank you.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This does conclude today's program, and you may all disconnect. Everybody have a wonderful day.